Operator: Hello, and welcome to the Crane Co. First Quarter 2021 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Jason Feldman. Please go ahead.
Jason Feldman: Thank you, operator, and good day, everyone. Welcome to our first quarter 2021 earnings release conference call. I'm Jason Feldman, Vice President of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Senior Vice President and Chief Financial Officer. We'll start off our call with a few prepared remarks, after which we will respond to questions.  Just a reminder that the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report, 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers and tables at the end of our press release and the accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Please also mark your calendars for our May 26 Virtual Aerospace & Electronics Investor Day.  And now, let me turn the call over to Max.
Max Mitchell: Thank you, Jason. Well, what a solid quarter on so many levels. I told you all that our February Investor Day that Crane was at an inflection point for accelerating growth after years of organic investments. In the first quarter, you saw substantial evidence of that inflection and the related themes from Investor Day reading through. We are well positioned for accelerating organic growth as our end markets continue to recover. In addition, we are outgrowing our end markets because of our consistent and ongoing investment in technology, new product development, and commercial excellence. Solid execution continues to leverage that growth into earnings and strong free cash generation, which creates substantial flexibility for capital deployment, and continued evidence of the value we create through acquisitions with stellar performance at Crane Currency, Cummins Allison and I&S.  As we announced last night, first quarter adjusted EPS was $1.66, a 44% increase from the prior year. All 3 of our strategic global growth platforms performed better than we forecast, led by Crane Currency and with demand ahead of expectations across all businesses, most substantially at Fluid Handling.  In addition to market growth, the outperformance was driven by extremely strong fundamental execution at all levels across the business, from productivity, price actions, growth initiatives driving market outgrowth and new product development, all driven by our rigorous cadence and disciplined approach to managing our business.  Regarding market outgrowth, we will spend dedicated time on Aerospace & Electronics at our May 26 Investor Day, but I would like to highlight a handful of notable accomplishments this quarter in our other businesses. At Fluid Handling, starting with our water and wastewater business. We continue to make progress with the new products that Alex discussed in February. Our new high-efficiency non-clog pump remains on track to launch in July. And we are already seeing significant interest in the product with substantial momentum in quoting activity. When launched, this will be the most efficient pump in the market with the proprietary cooling system that allows the motor operate with far less resistance, improving efficiency. Our chopper pump introduced in 2018 has been proven to reduce maintenance costs by 75%. A little over 2 years after launch, we continued to gain share, and we just had our best-ever sales month for this product in March. Together, these 2 products are on track to drive $30 million of incremental sales by 2025. For the core process part of the business, we continue to drive new product vitality to new levels in this business. We've always had a strong process business known for its quality, reliability and differentiated designs but we've improved upon that solid position with a product development process that continues to drive greater innovation and speed to market. In February, we presented, in addition to our triple offset valve line, the FK Tri-X product that is true breakthrough focused on replacing other valve technologies and expanding our addressable market by another $500 million for this product line. This valve is completely new in the industry and delivers 4 to 6x better flow than the competition, while maintaining the superior sealing technology of a triple offset valve, and therefore, reducing the total cost of ownership by 50%. During the quarter, the team completed its fugitive emissions certification process and year-to-date is already more than double our original target.  We also continue to make progress with our large lined diameter pipe product that we presented in our February 2020 Investor Day event. This product provides more resistance to delamination and corrosion and lasts over 10x longer than competing products. We just exited our best quoting month ever for this product, which was introduced in 2019, and we are on track to deliver sales approximately 4x last year's levels. Continued progress on new products as well as commercial excellence, driving share gains in above-market growth across the Fluid Handling business.  At our Crane Payment Innovations business, we continue to capture exciting opportunities across our various vertical markets with innovative and new to the market solutions. In February, Kurt discussed the growth we are seeing in alternative self-checkout solutions that are smaller and more versatile than the traditional self-checkout lane to grocery stores. Our new products in this area include our Pay Station and Paypod solutions for smaller retailers, convenience stores and quick service restaurants, which continue to gain traction with customer field trials and rollouts in midsized franchises. We are also working with an increasing number of customers on localized retail solutions, particularly with large retailers, who want a fully custom self-checkout solution optimized for their footprint and needs. Further, retail is seeing strong demand for various self-service kiosks for bill payment applications, sale of gift cards and even the purchase and exchange of cryptocurrencies.  Gaming is the other area where we're seeing a strong rebound in market demand, paired with increasing opportunities from the innovative solutions we're offering, from cashless solutions that are compliant with the stringent regulations governing casinos to our latest simplified software and connectivity suite for both front and back-office cash management. CPI provides an unparalleled breadth of capabilities and a successfully increasing penetration and gaining share in gaming.  At Crane Currency, this quarter's results speak for themselves. We are clearly outgrowing the international market with our portfolio of best-in-class anti-counterfeit security solutions and banknote printing capabilities. While aided somewhat by demand positively in this COVID environment, the currency team continues to innovate and introduce a steady flow of new best-in-class security products. To date, 147 denominations of specified Crane Currency's technology and 10 new denominations over the last 12 months, including the first for our new BREEZE product introduction.  The commercial focus in execution has also been outstanding from strategic account management, customer segmentation and holistic value selling and product management.  As planned when we initially acquired Crane Currency, we have driven substantial improvement in international margins over the last 4 years through consistent application of CBS, which continues to drive improvements in quality and efficiency. For example, paper yields in our Swedish substrate operation are up 8% over the last 12 months, a material improvement that directly improves profitability. When we announced this acquisition in late 2017, we targeted $1 of EPS accretion by 2021. Based on where we ended the quarter, I am very confident we will exceed that $1. In addition to outgrowing our markets, there was solid execution in the quarter. We delivered these strong results in an environment with some supply challenges and continued uncertainty related to COVID, both which will continue through the balance of the year.  Similar to what many others are experiencing globally, we continue to manage through various supply chain disruptions. No single major issue, but our teams continue to manage through various shipping delays and random supplier constraints whether due to COVID, lockdowns or short-term material availability.  We have also done an excellent job fully offsetting the material cost increases we are seeing across many of our businesses. That pressure was most notable in Engineered Materials, where resin prices increased rapidly, partly because of shortages and outages following the storms earlier this year in Texas that disrupted production at some of our suppliers. However, that team managed both the sharp increase in demand from RV customers as well as the immediate higher material costs extremely well. This is an experienced and seasoned team that responded quickly, ramped up production, and implemented price surcharges, and this was all done in a manner that treated our customers fairly, met our customers' needs and will result in full price recovery and margin protection for our business on a full year basis. Excellent performance by the team and excellent results in the environment.  We also had continued strong performance from our recent acquisitions. Cummins Allison and I&S are on track to exceed our original full year expectations for 2021. And remember that Cummins Allison delivered 2020 results ahead of its original plan despite the impacts of COVID. And we have growing capacity for further acquisitions giving our strong balance sheet and strong free cash flow generation.  An excellent quarter and an outlook that is just as impressive. We are trending ahead of our expectations on execution, free cash flow and margins and also on sales and orders, given improving trends across nearly all of our end markets. The pace of that improvement varies across our businesses. Some were not really impacted negatively by the pandemic, most notably Crane Currency, the military side of our Aerospace & Electronics business and our nuclear service business. Some, like the recreational vehicle market and Engineered Materials and our shorter-cycle commercial Fluid Handling businesses are already seeing strong sales growth. They should be followed over the next quarter or 2 by a sales inflection at our Crane Payment Innovations business and then by the longer cycle process side of our Fluid Handling business. For commercial aerospace, we are already seeing very favorable leading indicators, but we don't expect positive year-over-year sales growth until the latter part of this year. Based on what we can see, it feels like a solid phased improvement across all segments well into 2022.  However, while our markets are improving, our optimism is tempered somewhat by the ongoing uncertainty about how the rest of the year will unfold. There are still COVID-related lockdowns throughout parts of Europe, a worsening situation in India, ongoing travel restrictions in many parts of the world and risks related to new COVID variants. Balancing these factors, we are raising our adjusted EPS guidance by $0.65 to range of $5.65 to $5.85. At the midpoint, that reflects 50% adjusted EPS growth. We are raising our core sales growth forecast by 2 points to a range of 4% to 6%.  Inflection, we have clear momentum with increasing traction from our growth initiatives. And I'm confident that we are on a path to generate substantial and sustainable value for all of our stakeholders.  At this point, I'll turn it over to Rich for some additional financial commentary. Rich?
Richard Maue: Thank you, Max, and good morning, everyone. As usual, I'll be providing segment comments that will compare the first quarter of 2021 to 2020, excluding special items, as outlined in our press release and slide presentation.  Starting with Fluid Handling. Sales of $288 million increased 12% driven by a 6% increase in core sales, a 5% benefit from favorable foreign exchange and modest acquisition benefit. Fluid Handling operating profit increased by 24% to $39 million. Adjusted operating margins increased 120 basis points to 13.4%, reflecting strong execution on productivity, benefits from last year's cost actions and the higher volumes. Sequentially, trends in Fluid Handling improved across the board with foreign exchange neutral backlog up 4% and foreign exchange neutral orders up 15%. Compared to the prior year, backlog increased 5% and orders increased 2%.  Throughout the quarter, the order growth was strongest in our shorter-cycle businesses. Orders at our core process business inflected positive on a year-over-year basis in March, and we expect that trend to continue through the second quarter. It is possible a portion of the strength in process orders is related to distributor restocking, but we are also seeing clear evidence of improving end demand, and in some cases, the start of released pent-up demand. We expect the recovery to be led by the chemical and pharmaceutical end markets, both of which are continuing to show signs of strengthening.  For chemicals, leading indicators, including chemical production, are improving. And for pharma, our project funnel continues to grow. General industrial leading indicators are also turning even more favorable. And given the long lead times for certain products in this vertical, we continue to build some inventory in advance of the eventual recovery.  Regionally, we still expect the recovery to be led by North America and China, with Europe lagging. We had positive year-over-year sales growth across all parts of our commercial business with particular strength in Canada.  For Fluid Handling overall, we expect to do better than our original 2021 segment guidance. In February, we guided to core growth of 0.5%, which is now expected to be in the mid-single-digit range. Our original guidance for favorable foreign exchange of 2% is now running closer to 4%, and we still expect an incremental acquisition benefit of approximately $5 million this year from I&S. Margins should also exceed our original 12.5% guidance. However, remember, we told you last quarter that while we expect really solid operating leverage this year, the strongest leverage won't occur until our longer and later cycle process business picks up a few quarters from now. Leverage is also temporarily muted by positive FX movements that we saw in the quarter.  At Payment & Merchandising Technologies, sales of $338 million in the quarter increased 13% compared to the prior year, driven by 8% core sales growth and a 4% benefit from favorable foreign exchange. Segment operating profit increased 176% to $85 million. Adjusted operating margins increased 1,500 basis points to 25.3%. And while currency core sales increased 52%, our high-margin Payment business core sales declined 12% and is still several quarters away from a full recovery. We do believe the first quarter will be the best of the year for the segment and for Crane Currency, and volume and mix certainly did help margins somewhat in the quarter. However, I think it is also really important to remember several other factors here.  First, we have more than doubled international margins at Crane Currency, even after the significant intangible amortization that comes with purchase accounting. And while volume helped, the execution at Crane Currency has consistently and steadily improved over the last 4 years. Quality, delivery and cost metrics are in a completely different range than they were pre-acquisition and we continue to see improvements every day. And while broad-based, I would highlight particularly notable improvement in our international operations.  The volume we saw in the quarter was also broad-based across the U.S., the international markets as well as across security, substrate and banknote printing. And lastly, we are meeting our customers' needs better than ever before, and we are being paid for the value that we are providing. And that's where we will remain focused, providing our customers a level of service and quality of products that they can't obtain anywhere else.  At Crane Payment Innovations, we continue to see improving trends across the business. We continue to expect the greatest medium-term growth in the retail -- in retail, driven by self-checkouts, strong return on investment as well as the hygiene and health benefits of eliminating direct human interaction in the checkout process.  Transportation started the year strong. And at gaming, we continue to gain traction with our connectivity solutions and cashless payment options. Vending still remains our softest vertical given the number of offices and schools that are still operating remotely, but we have already seen a clear inflection in leading indicators with machines in public locations like airports on a clearer path to recovery.  Given all those favorable trends for 2021, core sales growth is likely to reach the high single digits this year, somewhat better than the 6% we originally guided to, with favorable foreign exchange now, a little above 3% benefit for the year. The core sales growth reflects solid growth across both CPI and Crane Currency. Margins are now likely to be above 20% on a full year basis, but we certainly expect margins to moderate somewhat as the year progresses.  At Aerospace & Electronics, sales declined 20% to $154 million with segment margins of 16.9%. In the quarter, total aftermarket sales declined 29%, driven by a 43% decline in the commercial aftermarket and a 5% decline in military aftermarket sales. Commercial OE sales declined 32%, but the defense OE business remained solid with sales up 4%.  We continue to believe that the fourth quarter of last year marked the trough for both sales and margins, and we will see improvement over the course of 2021. We are gaining better line of sight to improvement with leading indicators like airline schedules and flight hours trending favorably. However, we will have at least another quarter of year-over-year sales declines before sales growth inflects given the long and late cycle nature of this business. On a full year basis, the core sales decline should be a couple of points better than the 8% decline we guided to earlier this year. We still expect segment margins to recover back to north of 20% fairly quickly after 2021 as the commercial markets continue to recover on a substantially lower cost base. For this year, we expect margins modestly better than the 15% that we guided to in January.  Engineered Materials sales increased 6% in the quarter to $54 million with 11.8% margins. Sales strength was led by recreational vehicle demand, and we have good indications that building products demand is poised for a strong recovery in the coming quarters. Margins in the quarter were impacted by rising resin prices. The cost pressure on resin was exasperated by the storms in Texas that disrupted operations for several of our suppliers. The resin supply is recovering quickly and we expect that to result in resin costs reverting to more normal levels in the next several months. We have quickly implemented surcharges on our customer base and on a full year basis, we will fully offset the higher input costs with pricing. Consequently, we are on track to meet or exceed our original 2021 guidance for this segment.  Turning now to more detail on our total company results and guidance. We had very strong cash flow performance in the quarter, generating $45 million in free cash flow compared to negative $43 million in the first quarter of last year. During the quarter, we also received $15 million from the sale of a property in Long Beach, California that is excluded from free cash flow given required classification of an investing activity. However, this sale was directly enabled by our ongoing restructuring efforts as we moved operations from this facility to other locations. Since 2017, we have received proceeds from real estate and other asset sales made possible by restructuring activities of approximately $47 million, which means that much of our restructuring has actually been self-funded.  We also continue to further improve our strong balance sheet. Subsequent to the quarter end, on April 15, we repaid the term loan originated in April of 2020 in full using cash on hand and some commercial paper. At Investor Day in February, I told you that we had very limited acquisition capacity today growing to about $750 million by the end of this year. Given our revised outlook, that number is going to be somewhat higher. We will remain disciplined, but I am confident we will continue to find attractive transactions where we can deploy our capital to create value for shareholders.  The adjusted tax rate in the quarter was 22.2%. For the full year, we now expect an adjusted tax rate of 21% rather than the 21.5% prior guidance with the fourth quarter tax rate likely the lowest of the year. As Max explained, we are raising our adjusted EPS guidance by $0.65 to a range of $5.65 to $5.85, reflecting the strong first quarter performance and our expectation that end markets and execution will be ahead of where we forecast them earlier this year. That said, there is still some uncertainty in many of our markets as well as challenges in certain areas of the supply chain. But again, this guidance appropriately balances our performance and the market environment. For core sales, we now expect core growth of 4% to 6%, up 2 points from our prior guidance. Foreign exchange has also become more favorable over the last several weeks, and we now expect favorable foreign exchange translation of 2.5%, up from 1.5% in our prior guidance.  Free cash flow guidance was increased to $300 million to $330 million, up $35 million from prior guidance, reflecting higher earnings. Corporate expense is now expected to be $77 million, up $12 million compared to the prior guidance, reflecting a number of changes, including some timing items, some legal fees and higher bonus accruals. Full details of our adjusted guidance are included both in our earnings press release as well as our earnings slide presentation.  Regarding the cadence of our earnings through the year. Remember, last quarter, we discussed about $0.06 of earnings that we shifted from the end of last year into our first quarter given timing and logistics issues. We also had some favorable timing and mix in the first quarter. We expect a step-down in EPS next quarter with the second and third quarter and EPS levels similar to each other, and then fourth quarter will follow its usual pattern as the seasonally weakest quarter across most of our businesses.  Operator, we are now ready to take our first question.
Operator: [Operator Instructions]. Our first question today is coming from Matt Summerville from D.A. Davidson.
Matt Summerville: A couple of questions. First, within the currency side of the business, up 50% plus year-over-year, clearly a big first quarter. It sounds like a portion of that is international, a portion of that is domestic. Maybe if you could sort of talk about that a little bit and maybe parse that out?  And then how should we be thinking about the balance of the year, specifically as it relates to that business? And I guess, what I'm trying to get at is how much of this growth do you think is sort of pandemic-driven, which we would think would be somewhat temporary versus more secularly driven? I know there's a lot there, but thank you.
Max Mitchell: Yes, sure. So on the quarter itself, yes, 52% overall for currency. Recall that last year, in the first quarter, was a very easy comp, I would say, relative to this quarter given the destocking that was occurring and we had not yet began the production on the revised with the U.S. government. So clearly, a component of that -- a substantial component of that 52% coming from that part of the business. But I don't want to undersell the significance of the continued momentum that we're seeing on the international side, Matt, it's been pretty exceptional, and we have continued to see that continue. I think I mentioned on our last call, where we had seen in 2020 alone, about -- I think it was close to 40% year-over-year growth in 2020 versus the prior year on international. And looking at our numbers, this year, we're going to be up in the double-digit range again here in 2021.  So that gives you a sense, a little bit about the split between the contribution of the 52%. We're not going to break it out in detail, though, between the two.
Richard Maue: Correct.
Max Mitchell: And just to continue on what Rich is saying, Matt, so if I normalize, we had the adjustment for U.S. -- U.S. versus international. When you look at it longer term, we expected it to come back between $6.5 billion to $7 billion. That's my estimate -- our estimates. We're at $7.6 billion to $8 billion to $9.6 billion, and we're running at the low end of that. That's going to continue at least another year for sure. I feel -- my estimate, not anything we're getting from our customer. So you can determine what's COVID related in that $6.5 billion to $7 billion versus the $7.6 billion, which is at the low end.  On international, the majority of it is -- I would argue, is a secular trends of -- let me correct. On international, the bulk of it is share gain in our execution versus COVID-related and any short-term bump. There's some of that, but the bulk of it is us continuing to win new customers, execute, tie in our technology, design capabilities. All in, I think we're just executing really, really well. Hopefully that helps.
Richard Maue: I'll just add one other thing, Matt, if I can. On COVID, as it relates to international, in many cases, projects were actually delayed because of COVID, in terms of new designs and upgrades and the like during the pandemic. So we've actually invested more on design personnel and so forth to address what we see as some pent-up demand on projects kicking back in again.
Matt Summerville: Great. That's helpful. And then maybe just one on Fluid Handling. Can you talk about what you're seeing in terms of price realization year-over-year, whether you need to go get more price in that business to help offset inflation? And how -- what kind of relative spread do you think you'll be able to maintain between price and cost in that business?
Richard Maue: Yes. So we feel really good about our price actions. There's really nothing to go get, I would say. We're going to monitor things closely as we move forward. But all of our pricing actions are in place, and we feel really good about that spread. It's not a -- I would say, it's not neutral. We're doing our best to make sure that we're getting that price cost to be accretive, which so far, so good, and we expect that to continue as we go through the balance of the year.
Operator: The next question is coming from Nathan Jones from Stifel.
Adam Farley: This is Adam Farley on for Nathan. Congrats on the quarter. Going back to Fluid Handling, what was the cadence of orders through the quarter? Did March strengthened better than normal seasonality? And how orders trended through April?
Richard Maue: Yes. What I would say is that things strengthened through the quarter. As I said in my prepared remarks, on the commercial side, it was the strongest and it was sustained through the quarter. And on the process side, we saw it build through the quarter. So we do expect that momentum actually to continue here as we move through the second quarter. So a very strong month of March, in particular on process and again, sustained good momentum in the commercial side of the business.
Adam Farley: Okay. And then following up on that, did you see any benefit or delay from weather related to Fluid Handling? And could you quantify that?
Richard Maue: Yes. No, we did not. We didn't see any of that, weather was -- I think you're referring to the storms in Texas. We did not see really any inflection of any sort related to that.
Operator: Our next question today is coming from Damian Karas from UBS.
Damian Karas: So I wanted to ask you on the Fluid Handling 6% organic growth, obviously, better than you had expected, and you talked a little bit about the short-cycle process strength exiting the quarter. I was wondering if you can maybe just give a better sense on how much of that 1Q was catch-up demand or restocking activity? And Max, you had highlighted all the product development opportunity in Fluid Handling. Any sense on how much share gains contributed to the first quarter?
Max Mitchell: Yes, good questions. I don't have a hard on share gain...
Richard Maue: Yes. So maybe on the restocking, I would say we think there might have been a little bit of that, Damian, but not a lot. And frankly, in pulling some of our channel partners in the U.S. who I think wanted to do that, they couldn't, given the demand that was actually the underlying demand that was actually there. So I think this is really all demand-driven right now and not a whole heck of a lot. I did mention, I think that there has -- we're attributing some of it, but it's not significant in the quarter. From a share gain perspective...
Max Mitchell: I would say that, I think that, from what we're seeing, Damian, there should be some restocking coming But right now, it seems to be all flowing through. It's occurring so quickly that our channels are -- the orders that we see in, the uptick, are going immediately to end customers.
Richard Maue: Yes. And on share, I would say that if -- we're outgrowing the market. I don't have a specific number for you on the first quarter for that, but we are definitely outgrowing the market given all the initiatives that we've been driving here.
Max Mitchell: We'll take a look at the number and see, we can get back to you.
Damian Karas: Okay. Okay. Got it. And then I just wanted to ask you about the PMT margins. How should we think about the cadence for the rest of the year there? Obviously, U.S. currency is kind of positive for your mix right now, but you still have CPI declining, and I'm assuming that kind of mix up when you get later in the year. So what's the cadence look like for margins in PMT?
Richard Maue: Yes. We should still see pretty decent margins. I think the full year, we said we were going to exceed overall our 20% roughly, given the 25 here in the quarter. Obviously, we still expect some pretty solid margins. Second quarter will still be, I think, very healthy, and it will probably come off a bit from that point just given the project timing mainly in currency.  But on the Payment Innovation side, we're going to start to see this demand come back as we've already started to see. So we do expect that piece of the business to increase. But the lumpiness associated with currency is going to cause us to see some margin coming back in the latter half of the year.
Operator: We've reached end of our question-and-answer session. I'd like to turn the floor back over to management for any further closing comments.
Max Mitchell: Inflection and growing momentum, consistency of execution, our strong results this quarter support all of our key themes we discussed in February. We're in the very early stages of a strong market recovery. We have invested heavily in our organic growth initiatives and results are reading through and consistent above-market sales growth. We have growing opportunities for acquisitions in Fluid Handling and Aerospace & Electronics building on our core competencies, and we have an incredibly strong foundation to build upon grounded in the Crane business system and a culture of ethics and integrity.  As the late great Hank Aaron once said, consistency is what counts. You have to be able to do things over and over again. That's the essence of the Crane culture, and the Crane Business system, consistent strategic execution and repeatable processes to ensure success paired with driving for continuous improvement in a disciplined approach.  One last reminder to encourage all of you to join our May 26, Aerospace & Electronics Investor Day virtually where we will provide additional details and progress on our strategic growth initiatives and share some very exciting technology advancements with you on that day. Thank you for your interest in Crane. Have a great day.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.